Abel Arbat: Good morning, everyone, and thank you for joining our full year 2025 results presentation. This is Abel Arbat speaking from the Capital Markets team at Naturgy. Next to me sits our Executive Chairman, Mr. Francisco Reynes; the General Counsel to the Board, Manuel Garcia Cobaleda; the Global Head of Financial Markets and Corporate Development, Mr. Steven Fernandez; and the Global Head of Control and Energy Planning, Ms. Rita Ruiz de Alda. Today's presentation is a bit longer than usual as we aim to cover the results, but also to address some of the key themes and opportunities for 2026. As usual, we will start the presentation and then move to the Q&A session at the end of the call. Please, as usual, submit your questions through the webcast platform. And with that, let me hand it over to Steven Fernandez to kick off the presentation.
Steven Fernández: Thank you, Abel, and good morning to everyone. Thank you for joining our webcast to discuss the full year numbers for 2025 and the outlook for 2026. So before moving into the detailed review, I would like to highlight some of the key messages for the year. As you have seen in the results presentation, 2025 was a strong year for Naturgy, where we met our guidance, once again, reinforcing our track record of consistent delivery. The successful execution of our 2018 to 2025 transformation has underpinned the value creation of the company, and, we hope, our credibility. Now looking ahead, our 2026 guidance is well supported by business fundamentals, a very proactive risk management, as you will see throughout the presentation. We remain fully committed to the energy transition with gas increasingly recognized as essential. Also, our strengthened balance sheet provides strategic flexibility. And on the capital markets front, the tender offer on our own shares and subsequent placements have also led to a significant increase in the free float and stock liquidity, resulting in the return to major indices like the MSCI. Finally, the governance of the company has been adapted to align with the long-term objectives and ambitions of Naturgy. Now we move over to the consolidated results. Starting with the evolution of the energy markets, as you can see on Page 6 of the presentation, gas benchmark softened during the second half of the year with TTF declining by 23%, the Henry Hub by 6% and JKM by 14% compared to the first half of the previous year -- of 2025, sorry. Brent prices were also lower, both in the second half of the year and year-on-year, averaging $66 per barrel in the second half of 2025 versus $77 in the same period of 2024. Iberian pool prices for its part increased from EUR 62 per megawatt hour in the first half of the year to EUR 69 in the second half of the same year, owing mainly to the usual seasonal patterns with lower renewal generation in the second half of the year. If we move over to Slide 7, in terms of FX, we saw a broad-based depreciation across most of our operating currencies versus the euro. The U.S. dollar weakened meaningfully, particularly in the second half of the year, and it's continued to do so in 2026 so far, with LatAm currencies, including the Brazilian real, Mexican peso and Chilean peso also depreciating. Now we turn over to the full year 2025 results. We have a quick snapshot of some of the key metrics of these figures. EBITDA reached EUR 5.3 billion. This is a record level for the company. Net income reached EUR 2 billion. CapEx in the year amounted to EUR 2.1 billion, in line with the estimates that we had for our strategic plan. And net debt ended the year at EUR 12.3 billion. In this period, we've almost paid around EUR 1.3 billion in taxes and levies. So overall, the company has met its guidance despite a year of challenging environment, and these robust results reinforce our track record of consistent delivery. The year's performance was also supported by continued improvements in operational efficiency and very strong risk management, which have translated into higher profitability and visibility. At the same time, the strong cash flow generation and our capital discipline have allowed us to reduce our net debt levels below our 2025 guidance. So as a result, we end the year 2025 with a strengthened balance sheet that provides the company with strategic flexibility. If we move on to the income statement, EBITDA remained in line with last year, again, as a reminder, at record levels, with net income slightly above, in part due to higher minorities in 2024 for the reversal of TGN provisions in Chile. These earnings, we believe, show strong resilience and are supported by a balanced mix of activities, risks and currencies, as you can see on the right-hand side of the page. If we move over to Slide 10, which is the capital allocation, the cash flow from operations amounted to EUR 4.5 billion, which have allowed us to, one, fund EUR 2.1 billion investments, as I mentioned before, distribute close to EUR 1.7 billion in dividends and execute the tender offer of our own shares, which, for the most part, has already been placed in the market. The investments remain focused on networks and renewables with EUR 1 billion allocated to networks and around EUR 800 million to renewal generation, allowing us to reach 8.1 gigawatts of installed capacity at year-end 2025. So we take all this together, these figures, we think, clearly demonstrate the strength of our cash flow generation and, of course, of our disciplined approach to capital allocation. In fact, if we move over to Slide 11 in terms of cash flow and net debt evolution, you can see that free cash flow after minorities stood at around EUR 2.2 billion, EUR 800 million above 2024. That's 58% above. Net debt for the year closed at EUR 12.3 billion, which is broadly stable versus the figures from last year, 2024, correct, with net debt to EBITDA at around 2.3x. And of course, this includes approximately EUR 1.7 billion in dividends, as previously stated, and the EUR 941 million of shares repurchased net of the subsequent placements that we executed. The average cost of debt stands at 3.9%, in line with 2024 levels with around 66% of the debt locked at fixed rates. And the FFO-to-net debt stands at around 27%, which is comfortably above the threshold required for a BBB rating. During the year, it's worthwhile highlighting that we completed around EUR 11 billion of financing operations, reinforcing our liquidity and extending maturities. So all in all, our balance sheet remains solid and again, provides the company with strategic flexibility. If we think about shareholder remuneration on Slide 12, for fiscal year '25, we are proposing a total dividend of EUR 1.77 per share, representing an almost 11% year-on-year growth and above the DPS floor of EUR 1.7 per share committed for the year. This includes two interim dividends of EUR 0.60 per share each and a final dividend, which we are announcing today of EUR 0.57 per share, which will be payable the next 31st of March, subject to the AGM approval. The final dividend per share has been increased to account for treasury shares as these shares do not receive dividends and its corresponding amount is redistributed among the outstanding shares. So all in all, when we think about 2025, we've delivered on our company's guidance across basically all metrics. EBITDA reached EUR 5.3 billion, slightly above our guidance. Net income was above EUR 2 billion, also above the EUR 2 billion guidance. The net debt closed at EUR 12.3 billion, which is below our guidance of around EUR 13 billion, and the DPS amounted to EUR 1.77 per share, which is above our minimum commitment of EUR 1.7 per share. So all in all, this consistent track record of delivery once again reflects the company's commitment and delivery. So now I'll hand over to Rita, who will take you through the operational business performance in each of our businesses in greater detail.
Rita de Alda Iparraguirre: Thanks, Steven, and good morning, everyone. Starting with Networks on Page 15. Networks reported a total EBITDA of EUR 2,735 million in 2025, representing a 5% decline when compared to 2024. This decrease was primarily driven by a one-off positive impact in Chile last year and the depreciation of several Latin American currencies, most notably the Argentine peso, but also Brazilian and Mexican currencies. In Spain, gas networks experienced remuneration adjustments foreseen in the current regulatory framework as well as increased demand in the residential segment due to temperature effects. In electricity, EBITDA increased driven by a higher regulated asset base and increased contribution rates. On December 23, the new regulatory framework for the 2026-2031 was finally approved, introducing an OpEx remuneration model with a regulatory rate of 6.58% compared to the 5.58% in the previous period. In Mexico, results mainly impacted by negative foreign exchange effects compensated by tariff updates in July. And in Brazil, results were also affected by currency depreciation. In Argentina, a substantial tariff increase was implemented in 2024 and 2025 to offset inflation. In fact, the new regulatory review approved for 2025-2030 period provides visibility and also includes mostly inflation adjustment that allowed to compensate for FX devaluation during the year. In Chile, performance declined when compared to last year due to an extraordinary effect in 2024 related to TGN conflict, which is now officially closed. In Panama, results were negatively affected by lower demand due to temperature effects and increased operating expenses from higher maintenance activity to improve quality standards. In summary, comparison is affected by an extraordinary impact in 2024, currency depreciation in LatAm, and I will also highlight the publication of the distribution model for electricity distribution in Spain. Now turning to Energy Management on Page 16. EBITDA reached EUR 815 million, which shows an increase versus 2024 of an 8%, mainly due to higher margins on hedge sales. The group benefited from effective hedging in a context of high volatility and uncertainty. It is important to highlight that we have reached a price agreement with our gas suppliers, Sonatrach, for the period 2025, 2027, which strengthens the good relationship between both parties and provide us with visibility in the context of energy price volatility. Finally, last October, Naturgy signed a purchase agreement of 1 million tonnes of LNG with a U.S. gas supplier starting in 2030. This agreement strengthens the group's positioning and its commitment to a diversified LNG portfolio as a key enabler of the energy transition. Overall, the period benefited from effective hedging and diversified procurement portfolio. And furthermore, the group is building new capabilities that reduce risk and enhance optionality. Continuing with Thermal Generation, EBITDA reached EUR 837 million in 2025, 39% over 2024 levels due to higher activity in Spain, partially offset by lower revenues in Latin America. In Spain, the increase in results was supported by higher demand for ancillary services from our combined cycle fleet. Naturgy holds the largest CCGT fleet in Spain with 7.4 gigawatt acting as a backbone to energy security of supply. Furthermore, the group obtained a favorable court ruling confirming the reimbursement of the hydrocarbons tax related to the 2014-2018 period. In Mexico, production and margins remained stable. However, revenues from availability markets and prices declined, mainly due to an exceptionally high revenue base in 2024. Overall, CCGTs remain essential for ensuring system stability with an extraordinary contribution in 2025 following the positive ruling. Let's turn now to Renewable Generation on Page 18. Renewable generation reached an EBITDA of EUR 586 million during the period, slightly above 2024 levels. In Spain, renewable production was 7% lower when compared to 2024, mainly due to lower wind and hydro generation given the exceptionally high levels of hydro production in 2024. This negative impact was partially offset by the commissioning of new installed capacity. In the United States, results are higher when compared to 2024, mainly due to higher production and higher energy prices as the completion of the construction of its second solar plant in Texas. In LatAm, activity continues with impacts due to currency devaluation in both Mexico and Brazil. And finally, in Australia, performance was supported by increased production, more than 100%, driven by the additional installed capacity implemented during the final months of 2024. Investment includes 1.2 gigawatt of power under construction that will come into operation in 2026. All in all, higher results in Renewable Generation due to commissioning of new capacity that reinforces vertical integration and selective growth. Last, moving to Supply. EBITDA has been EUR 535 million, 17% lower when compared to 2024. It is important to remember that in 2024, we had an extraordinary impact due to the positive ruling in favor of Naturgy regarding tariff subsidies. Gas margins have shown resiliency, but negatively affected by regulated tariffs with legal process for recovery underway. In terms of electricity, the group has expanded its client portfolio in a higher competitive environment. However, it was impacted negatively by increasing costs. Finally, our AI-enabled digital commercial platform drives efficiency and improves client service through a significant simplification of product and processes. Overall, stable volumes and margins pressure partially offset by integrated position and operational efficiency. I will now hand it over to our Executive Chairman. Thank you.
Francisco Reynés Massanet: Hello. Good morning to everyone. Thank you for joining. And thank you, Steven and Rita, for this wrap-up on 2025 results. I wanted just to spend a few minutes talking about the overview of the transformation we have conducted since 2018, which demonstrates that the company has been focused, as you will see later, in delivering or even exceeding our commitments that were placed in two strategic plans that were already ended. The six key messages I wanted to share with you are about our decision in 2018 to get strongly involved in the energy transition. Our important target to move Naturgy into a more reliable, efficient and derisked company. All this transformation being done under the umbrella or clear financial discipline. As a conclusion of these targets, achieving a much stronger balance sheet, which demonstrates that our commitments are firmly achieved by the hard work of all the team. Finally, as you will see, the conclusions of all this work is that we have improved in the main metrics as return on capital employed, return on equity and total shareholders return. In Page 22, you have it in your hands, and I will not go in big details, but the most important thing is that back to 2018, we have decided to change the face of our portfolio generation, betting on more renewable generation, maintaining the flexibility that our gas turbines are providing to the system and moving ahead in a transformation that has brought us to a very important share of the non-emission technologies. On Page 23, one of our key mantras during the last 7 years has been around making the company more efficient. We really believe that a company will survive as more efficient it is. And the efficiency is shown in this page as an important change from a 36% OpEx over margin to a level of 25% of it. It's important that this work has been done streamlining by all the different business units and in particular, as a demonstration of three pillars that has been driven this efficiency to an end is a portfolio simplification that started back in 2019, OneGrid as a philosophy to extend the best practices across all the business units in the company and leveraging on genAI, in particular, on the commercial field to improve not only our cost, but also our client service. On the other side, and with the aim to make the company more reliable and less volatile, we have been focused every year to secure the level of pricing by hedging our LNG portfolio, we did change it from 30% -- around 30% of volume hedged at the beginning of the period to 100% volume hedged in the last year we closed. In parallel, as a business decision, we have decided that a way to self-hedge our fixed price sales contracts of electricity with clients could only be supported by our inframarginal base of electricity generation. In this period, we have been generating around EUR 40 billion of cash flow -- EUR 41 billion of cash flow. And the solid use of these sources has been divided between three major destinies. One is investment. The second one is shareholders' remuneration and the third one is back to society through taxes and levies. As you can see, this equilibrium has been maintained, in particular, to create a much more solid company for the future with a high degree of investments. The conclusion of this work is that we have been able to reduce our leverage, we're reinforcing the balance sheet and as a result, it provides us a strategic flexibility for the future. The level of rating has been able to be maintained as a BBB from Standard & Poor's. And today's liquidity is already around EUR 10 billion. If you look backwards to 2018 and 2021, there have been two strategic plans in place that were shared with the market in June 2018 and at the end of 2021. Each of it had four important indicators as a target. As you can see in the slide, in all these different targets, the company and the team has been able to meet or exceed the expectations provided to the market with a consistent delivery through the years. In conclusion, the company has created value for its shareholders. If we look at from the ratio point of view, we have clearly increased our efficiency in ratios like return on investment capital and return on equity. As you can see, we were at the time, clearly below our peers. And today, in comparable terms, our metrics are clearly above peers' average. If we will go back to the market and despite of all the different turmoils that may have around the equity markets, the total shareholders return for our shareholders could be clearly above 10%. This is what we have done in this period of work, 2018 and 2025. The company has not stopped. This has been the case since 183 years of existence. And now I think that we want to tackle the most important issues that we have for the year 2026, which hopefully, Steven will clarify to all of you. Steven?
Steven Fernández: So thank you, Paco, and I'm super happy to be able to discuss this part of the presentation with you because when we look at some of the questions that are coming in as we discuss this presentation, we think we address a lot of those in this particular area. So we focused on some of the key themes for 2026 that we know the market is looking at. And I would like to start off perhaps with the first one, in no particular order, but on Page 29, a word about the rising value of flexible generation. So we are seeing a structural shift in the Spanish system where CCGTs are playing an increasingly important role. It's worth highlighting that just a few years back, having CCGTs in your fleet was seen as something potentially negative. We kept on defending their relevance, and we are seeing that play out today. So we do see an increase in the value of flexible generation. In Spain, it's worthwhile highlighting that our thermal installed capacity of 7.4 gigas of combined cycles and 600 megas of nuclear, and the CCGTs located in key areas provide grid support and operational flexibility, making the company a best-in-class operator. Potential capacity payments are only assumed from 2027, so not included in the 2026 guidance. In LatAm, as you know, we also have a relevant fleet, specifically in Mexico, where we are engaging in discussions for the extensions of the PPAs. However, we do expect lower margins and lower availability in the excess capacity market for those combined cycles. So all in all, when it comes to the rising value of flexible generation, we see that the fleet's reliability, our flexibility and the fleet's efficiency are one of the key elements of the company's competitive advantages in this business. Another area that I would like to touch on has to do with supply. So we are getting a lot of questions on supply, and we'd be happy to answer most of them. But before we go on to them, hopefully, this slide clears some of the elements. So we continue to focus on competitiveness and operational excellence. So some of the key drivers for 2026 include a stable market share and volumes to preserve margins. So we're not engaging in a battle here to gain market share at all. We rather preserve margins. And this is in the context of a highly competitive environment. We have a well-balanced and vertically integrated position, which is also something worth highlighting. And we are experiencing and focusing clearly on excellence in client service and efficiency, which is supported by the new digital commercial platform the company launched, what we commonly know as NewCo. Some key elements about this. So when we think about NewCo and the impact of this new digital commercial platform, we've seen a simplification and reduction of the number of energy plans offered to our clients from 634 previously to about half of that, 342 in 2025. So there's simplification easier to understand by our clients. We also have improved significantly the first call resolution from 80% in 2024 to 94% in 2025. And this has resulted in an increase in the customer satisfaction levels from 9.4% in '24 to around 9.6% in 2025. We also have more margin visibility into 2026 based on the high percentage of already contracted sales. So for example, if you look at electricity, around 65% and 75% of -- is contracted for industrial and retail segments, respectively. And if you look at it in terms of gas, the numbers are 75% and 80% contracted for industrial and retail segments, respectively. We also have a limited exposure to lower margin regulated tariffs in the sales mix. As you can see, overall, we can say that margin pressure during the year should be contained by our integrated position and high percentage of contracted sales for 2026 and together with what we think are the right ingredients for client retention and attraction. If we move over to another interesting part of the business, which is energy management, we will continue to reduce our gas risk profile. I think the group has been very vocal about this, and we've been able to show very clear successful results. All this while maintaining the security of supply and optionality. So some of the key drivers for this area include an agreement with Sonatrach on the price until 2027, which increases our commercial visibility. And obviously, this is subject to the customary commercial -- the customary authorizations. Moreover, our total gas exposure for 2026 is negligible, thanks primarily to our hedging efforts with risk significantly reduced through 2028. This is made both with U.S. volume hedging and residual positions offset by short sales. In addition, the hedge volumes are closed above current market levels, preserving the company's potential. Our long-term procurement strategy is also focused in prioritizing security of supply and disciplined risk management. So we have made progress on the following areas. We have executed a long-term U.S.-sourced LNG gas procurement agreement with Venture Global starting in 2030, which is public. And we have up to two 2 new bcms under long-term SPAs with additional procurement opportunities under evaluation. So we are actively engaging the market. We also have a proactive management of the upcoming EU ban on the Russian gas imports effective 2027. So all in all, the company keeps reducing the gas risk profile, increasing the visibility while obviously maintaining the focus on security of supply and our optionality. In terms of networks, in Spain, in electricity distribution, the new regulatory framework increases the financial remuneration, as you know, to 6.58%, although with a strong adjustment to OpEx remuneration. Our investment plan in this strategic plan, which I remind you is around between EUR 300 million and EUR 350 million a year, is subject to the approval of the government network planning, which we're still awaiting. So we expect in 2026 to have a one-off recognition of remuneration also from previous years. In gas distribution, we should have the new regulatory framework from October 2026, and that covers a time span of '27 to '32. We expect the current parametric formula to be maintained with some adjustments to remuneration parameters. And we should also see an acceleration in biomethane production and distribution. So Nedgia in that sense, distributed last year 170 gigawatt hours of biomethane, which represents a 53% increase versus 2024. Finally, in gas distribution, we also expect a gradual rollout of smart meters. So in essence, when you look at both areas, both electricity and gas in networks in Spain, we believe that visibility has improved, and we expect stability in gas. If we move over then to renewables, it's worth highlighting that our development remains disciplined and return-focused with 1.2 gigas under construction that will come into operation throughout the year 2026. In Spain, in particular, we'll continue benefiting from our low-risk and flexible portfolio, which is focusing on repowering and battery hybridization. Execution will focus on high-return projects, as you can imagine, and the opportunity to capture value from unique assets, suitable specifically for data centers and pumped-storage solutions. On top of that, 640 megawatts of additional capacity and 115 megawatts of repowering will be fully operational by Q4 '26. In Australia, we will have some additional capacity, around 360 megas, with supply contracts supported via long-term PPAs. And lastly, in the United States, we will see additional capacity to the tune of around 125 megas coming operational in 2026, with supply contracts supported via long-term PPAs of between 10 to 15 years. In addition, in the U.S., we will see asset rotation, and we will seek asset rotation opportunities to projects under development. So overall, I think renewable growth remains focused on profitable and selective investments. This goes to our mantra of value over size. And this will continue to contribute, of course, to our vertically integrated position in Spain. Moving on to biomethane. Biomethane, we believe, in Spain presents significant long-term potential of around 160 terawatt hours because it's an efficient solution to decarbonize the transport, the residential, the industrial sectors as gas networks are already ready to distribute the gas, the biomethane with no modifications. In this sense, Spain's biomethane plants have doubled from 12 to 24 in 2025. Nedgia or the gas distribution business, biomethane distribution has also seen a material increase, as I just previously mentioned. And the forthcoming Spanish policy package should provide regulatory tailwinds from 2026, accelerating biomethane production and the use for decarbonization. So we continue progressing in the development of our portfolio with more than 75 projects, that's equivalent to more than 5.5 terawatt hours despite the investment plan being delayed due to slow administrative processes. So it's worth highlighting that we're admittedly not going as fast as we'd like. And this is shown by the 20 environmental authorizations in Spain versus 140 under review, of which 40 belong to Naturgy. So we continue to become the leading energy player in biomethane in Spain. We continue to push for the right regulation, and we are ready to accelerate our CapEx plan once visibility on this front improves. I'd also like to take this opportunity to discuss data centers a little bit, right? And when we talk about data centers, we work and we deliver results as opposed to deliver expectations with no results. So let's talk about the data center opportunity here. Spain is one of the fastest-growing data center markets. It is supported by competitive costs and a strategic geographic position, which make the country an attractive hub for international data traffic. We believe the company is very well positioned to benefit from this. So we combine 8 gigawatts of thermal capacity with 5.7 gigas of renewables, which, together with our multi-energy focus provide us with the flexibility, and this is very important, to adapt to the clients' energy needs. So in addition, we also offer integrated solutions, combining grid access, energy and network resilience and redundancy. So in this context, Naturgy's business model is evaluating opportunities to monetize suitable power land and provide long-term PPAs and energy services, while the investor retains control of the data center assets. That is our model. We hold close to 3 gigas of locations with suitable access or potential for obtaining access to power consumption, of which around 500 megas in renewables, 400 megawatts in combined cycles and a conservative 2 gigawatt pipeline. So in conclusion, we see this as an opportunity to unlock value with very limited capital deployment. We are working in this area, and we are optimistic in our ability to deliver. We recognize that the process won't happen overnight, that capturing value from DC expansion may take a few years, but we also recognize the unique position the company is in to capture some of this growth. Finally, if I move over to LatAm. This year, we'll see relevant tariff reviews across businesses and the preparation for concession extensions. In Panama, the main drivers will be the 2026 to 2030 tariff review, which should include both inflation and higher losses recognition. And we are also seeing higher demand and the continuation of the ongoing quality upgrade plan. In Mexico, the '26-'30 tariff review will also reflect inflation recognition. And additionally, we expect industrial demand to recover from '25 levels. In Chile, the '26-'29 tariff review will come with full asset value recognition. And in supply, we're seeing a slight margin contraction due to the expected energy scenario. In Brazil, the focus is on the preparation for the concession retender in 2027. So we have a lot of questions about this. The reality is that the government has the ability to retender the concession. We'll look at the tender conditions when and if they are published, and we'll make the decision on whether or not to go ahead. But suffice it to say, the company is uniquely positioned to continue operating these assets. In Argentina, the gas review for '25-'29 was approved in April. And while the electricity tariff review for '26-'30 was approved in February 2026. So both reviews, very importantly, incorporated the inflation recognition. So in summary, we do expect ordinary tariff reviews across businesses in LatAm with demand continued to grow and with the company ramping up and getting ready for the retender of the concession in Rio. And with that, I hand over to our Chairman for the last remarks.
Francisco Reynés Massanet: Thank you, Steven. And again, thank you for listening to me. Two important messages for 2026. If you remember, one of the key topics of the strategic plan 2025, '27 was to be a truly listed company again. And that was translated in one word, increasing liquidity. Increasing liquidity has been the aim of what it was behind all our plans during this year, and we have been able to achieve our targets even 2 years earlier than the finish of the strategic plan '27. In terms of liquidity and after the BTO that we launched in June 2025 and after the placement of the shareholder GIP of 7% of its stake by December '25, this is the new configuration of our shareholding base. It's important to remark that now the free float is above 23%. And one demonstration that the company is becoming more liquid is that if you compare the ADTV of shares in January '25 with January '26, the volume of shares traded has been multiplied by 5x. On the governance side, I want to highlight first a very important message. Naturgy's Board is a solid and peaceful room. All the plans that we have submitted to the market for your consideration has been approved by unanimity and all the changes that were going to happen have been also approved by unanimity of its members. Therefore, for many things that has been written, we have the privilege to have a very committed and devoted Board that works for the benefit of all shareholders, large and/or small. What we have done is to adapt the new equilibrium of shareholders to the new circumstances of the bylaws of the company, including a respect of the proportional representation for the stakes of every shareholder. In this regard and after the placement of GIP, the Board unanimously have decided to change one board seat from GIP to IFM. These numbers, which are not only pure mathematics, would also like to reflect the long-term commitment of the shareholders in the company. If we go back -- if we go ahead on 2026 forecast, we want to share with you how we see this year, which has started very bumpy. And as we see a scenario in both energy prices and exchange rates, very challenging. We see a market that is again deteriorating a little versus the last half of 2025. And in particular, in what it reflects to the price of electricity, we are seeing more depressed electricity prices in the first half of '26 compared to last year. When we go to the exchange rates, there are also some visions based on the forwards of last 11th of February that we are seeing a certain stable evolution in Chile, Brazil, probably a little decline in the U.S. dollar and a continuous, now less, decline on the Argentinian peso. With all into account, what we can provide to you today is a vision of our figures in 2026 which, as you will see, may think less affected than this challenging scenario, in particular, because of the proactive hedging policy of our volatile business and our proactive regulatory management of our infra business. We can tell today that we see EBITDA for this year at a level of 2025. Net income slightly below than 2025, but clearly above EUR 1,800 million with an investment around the same level than last year. That will provide us room enough to continue delivering the messages of our commitments and in particular, a dividend that was established as a floor for this year '26 on EUR 1.8 per share. As you know, we regularly pay our dividends in three steps: one after the first half results, the second after the third quarter results and the third at the time of the AGM. If you allow me to close this first introduction after going to your Q&A session, just to remember which are our key fundamental messages for the investment community. One is about 2025 results, strong as committed. Second, about the transformation 2018-'25, a clear transformation from different points of view, operationally, financially and shareholder base. Third, on the guidance 2026, supported by our aim to maintain risk management in our core. Firm commitment to energy transition by investing with financial discipline. A balance sheet that give us this strategic flexibility. Increased free float as part of our key fundamentals. And governance adapted and aligned with long-term objectives and ambitions. Thank you very much for your time. I give the floor to Abel, who will manage the part of the Q&A session.
Abel Arbat: Thank you. Thank you, Mr. Chairman, and thank you, everyone, for submitting your questions. In the meantime, we have the pleasure of having some of our business heads joining the discussion and helping us to address the more spicy questions with Pedro Larrea from Networks, Carlos Vecino from the Supply business, Jorge Barredo from Renewables Activity and Jon Ganuza from Energy Management. But before we get into the specific business questions, let's address the more -- the questions more related to the group and business strategy. So starting with guidance 2026. There's a question around underlying assumptions for guidance 2026 and how it compares to the former strategic plan and whether we are comfortable -- still comfortable with the 2027 targets and what offsets the more challenging scenario?
Rita de Alda Iparraguirre: Thank you, Abel. So I think we've mentioned during the presentation that we expect increased investment in Networks and also tariff reviews in LatAm, that will bring higher results in the following months. Also, we've mentioned that we have a 1.2 gigawatt under construction of new renewable capacity that will also enter into operation during 2026 and 2027. Third, we still see the thermal generation will remain strong in the following months. And also, I think it is also mentioned during the presentation that there is one positive retroactive impact in electricity distribution in Spain expected in 2026. So I think that all these impacts will compensate for the margin decline expected under energy scenario.
Abel Arbat: Thank you, Rita. Now questions on net debt. Some analysts recognize that net debt came better than expected in 2025. And wonder if we can elaborate on the drivers of the increase in net debt to 2026 of EUR 13.5 billion.
Rita de Alda Iparraguirre: Okay. So we are expecting to pay some liabilities in 2026 regarding supply contract agreements and also some payments to the CNMC, for example, the one regarding electricity price caps from 2023 that we provisioned, but we have to pay. So therefore, we expect some debt increase in 2026, in line with the guidance. However, operational cash flow will remain solid in 2026.
Abel Arbat: Thank you, Rita. In line with the lower-than-expected net debt delivery in 2025, there are some questions around balance sheet capacity. And recognizing that balance sheet capacity, where do we see organic growth opportunities? And also, are we contemplating any inorganic opportunities? And what would be the criteria of these potential inorganic opportunities?
Steven Fernández: So thank you, Abel. We recognize that we have balance sheet headroom and flexibility. I think to answer the question, the first thing that we need to remember is that we have a very clear commitment to a BBB rating. So that is fundamental as a starting point of any discussion. To keep that rating right now, we have to meet a number of metrics to focus on one in particular, FFO to net debt has to be above 18%. We're running right now at a level of around 27%. So you can do the math on how much additional leverage capacity the group has. It doesn't mean that we're going to be using it. So we don't want to stress the balance sheet, but it means that we have the ability to deploy or to put our balance sheet to work. When we think about investments, you also have to think about our mantra, which is very clear as well, which is value over size. And we've been following that since 2018. We will continue following that. So by no means are we going to be jumping into the market doing crazy things. We're very rational and very disciplined as a company. So when we divide between inorganic and organic, organic, I think the company has provided you with guidance for year 2026 of around EUR 2.1 billion. In terms of inorganic growth, as you can imagine, we're constantly monitoring the market for attractive opportunities that make sense for the company, that create value for our shareholders, that do not stress us. We're looking for opportunities that are not dilutive, that are accretive from the beginning. We're looking at opportunities where we can actually export our know-how. I think you've seen in the presentation, the track record the company has from '18 to '25. We've been able to develop best-in-class expertise in certain areas. And these are areas that we would look to be able to leverage on when thinking about acquisitions. Do we have anything on the table today? The answer is no. But we do have a very good team that spends a lot of their time looking at opportunities. And when and if one of those fits what we're looking for, then we'll bring it to the Board and decide whether or not we want to go ahead with them.
Francisco Reynés Massanet: If you allow me, Steven, just to remark on a very important fact that reinforces Steven's words. Since 2018 until now, that has been more than 7 years, there have been a lot of rumors about different potential projects that the company may get involved. And as you have seen, we haven't lost the financial discipline and our commitment to firmly stay on the words that Steven has said, and I would like to remark, value over size. This is going to continue. And this is the main reason why we are not obsessed about inorganic growth. We are obsessed about value creation.
Abel Arbat: Thank you, Steven. And Mr. Chairman. There is a question on the upper end of a net debt-to-EBITDA range, but I think that Steven already answered that by stating our commitment -- our firm commitment to a BBB rating. And as a result, there's not an upper end of net debt to EBITDA, but rather a commitment to a BBB rating. We're more guided around the FFO-to-net debt criteria. There's another question around cash flow and in particular, on working capital. What are the key moving parts of the change in working capital during 2025?
Rita de Alda Iparraguirre: Okay. So the evolution of working capital is significantly influenced by seasonal demand patterns, fluctuations in energy prices and also with the negotiation of gas contracts with our suppliers. And this has been the case in 2025.
Abel Arbat: Thank you, Rita. There is also a lot of interest around the data center theme. I think that Steven covered very well the topic and our positioning on the matter. But I guess it's worth clarifying a few of the questions. So let's go with them. Are we contemplating any kind of partnerships, and how imminent a deal could be? Also, a deal on power land could be expected already this year. And also, what exactly is the self-consumption capacity for data centers?
Steven Fernández: So partnerships, we don't envisage -- our model for development in data centers or to capture the opportunity presented by data centers does not envision any partnership per se. In other words, we're not going to be getting involved in the construction of the data center. We're not going to be getting involved in the running of the data center. We're going to be getting involved in the procurement of energy. We're going to be getting involved in the procurement of permits, and we're going to be getting involved in the selling of electricity and selling of the power land. So that's our business model, right? We do think we have a unique position to capture part of this growth because of the locations where we operate, which are, by the way, generating quite a bit of interest from a number of parties. As to whether or not we should expect any deal this year, all we can say is that the company is working to make this potential a reality. And when we have any news to share, we'll obviously be happy to do so with the market, but we're not going to anticipate things ahead of time. And I think the other question had to do with self-consumption. There's two different alternatives that you can do as a data center, connect directly to the network or do self-consumption, which has its own advantages. The majority of developers are looking for self-consumption. So that's one of the -- that's the area that we're focusing on.
Abel Arbat: Thank you, Steven. So we can now move on to the specific questions around the various business units. So let's start with electricity distribution in Spain. And the first question relates to how the new regulatory framework for electricity distribution in Spain affects us in terms of our investment plans or strategic ambition?
Rita de Alda Iparraguirre: Okay. Thank you. So as you all know, the CNMC has already published a definitive resolution for the new regulatory framework covering the 2026-2031 period. The published proposal introduces a shift to an OpEx-based remuneration model with an increase in the contribution rate to 6.58%. This new model finally defines investment cap in 0.13% of gross domestic products. The group considers that this new regulatory model creates value and provides the distributor with a solid growth path for the coming years that is consistent with our strategic plan estimates.
Abel Arbat: Thank you, Rita. Another question also related to the new framework, and it relates to our views around the new OpEx standard and the new incentive mechanism, if we could share our views on the new regulatory changes.
Rita de Alda Iparraguirre: So we think that the new model fails a little bit in order to incentive -- to be more efficient in the future. That's our perspective.
Abel Arbat: Okay. Also, during the presentation, we mentioned the retroactive one-off recognition from previous years. Can we clarify the concept behind this recognition, this one-off recognition?
Rita de Alda Iparraguirre: So this is mainly contribution related to maintenance activity from previous periods in the past that depends on court rulings that are currently being published.
Abel Arbat: Okay. Thank you very much, Rita. Let's now move on to questions around our gas distribution activities in Spain. And there are a number of questions around our expectation for the new regulatory framework in gas distribution for the period 2027 to 2032.
Rita de Alda Iparraguirre: Okay. So regarding timing, we are expecting a first draft of the remuneration methodology should be ready probably the next month in 2026 as the final distribution model should be expected by the end of the year. From our point of view, continuing with the parametric model will be a desirable option to provide both stability and predictability to the sector. I want to highlight that the current model has proven to be efficient. It has provided system stability and the remuneration has fallen significantly in the recent years as a result of the drop in demand. However, parameters should be -- should reflect exceptional inflation of the current period. Furthermore, we foresee this new regulation as the opportunity to incentive renewable gases, smart metering and the decarbonization of the gas networks.
Pedro Larrea: Maybe just highlight that we have been arguing and I think everybody is now acknowledging that gas networks are a strategic asset for energy in the country. Gas networks actually distribute 1.5x the amount of energy that electricity networks do, and they are around 6x more efficient than electricity networks. So -- and by the way, gas demand has been increasing consistently for the past 20 years. So everybody, I think, today is acknowledging the long-term strategic value of gas networks in Spain.
Abel Arbat: Thank you very much, Pedro. So moving now on to networks in Latin America. The first question is around the retender process for the Rio de Janeiro concession, and if we can share any updates or views on the matter.
Unknown Executive: Well, a public process for extending concessions is the base case. In this case, there was an opportunity, at least the [ regulator threw it ] like this, that it could have been more efficient to make a renewal with the current concession holder, but just the politics timing in the Rio de Janeiro state haven't made this possible. So we are now back to the base case of renewing within an ordinary process.
Pedro Larrea: And maybe two comments on my side. One is we have been in the past 2 years, having a very candid and open relation both with government and regulator, and we have been successful in unlocking a number of discussions we have been having like tariff reviews, asset values, et cetera. And we plan to continue to do so. So we will continue to be openly having open conversations with both regulator and government. Second is that there is no questioning of our management of the concession of our management of the assets. So there's no negative valuation of our performance as a concession holder so far. And we will continue again to have this open relationship with the government and see what comes out of the retendering. And there is a number of regulatory discussions that are open and that we are having just as normal course of business.
Abel Arbat: Thank you very much, Pedro. One last question on regulatory networks in LatAm, and it mainly relates to the key drivers coming into 2026 and 2027.
Rita de Alda Iparraguirre: Okay. So regulatory management continues to be a key priority in Latin America as we aim to obtain tariff reviews in most of our distributors in LatAm and updates which compensate for ongoing inflation and FX depreciation as well as tariff updates that reflect investment plans in those geographies. I think it's important to highlight that in the case of Argentina gas, the new tariff review published this year includes monthly adjustments for inflation, which is a very important milestone regarding high inflation rates in this country.
Abel Arbat: Thank you, Rita. And a final question on not networks, but on Latin America. And it's related to the reclassification of our Chilean renewable assets that are now reclassified as held for sale. So why is that a decision? Is there any read-across for other renewable assets in Latin America?
Steven Fernández: So thank you, Abel. No, there is absolutely no read-across for any assets in LatAm or anywhere else. The reason why those assets are held for sale quite simply is because they did not meet or are not meeting our return requirements.
Abel Arbat: So let's now move on to the energy management questions. So starting with the more generic questions. So what is the -- our views on the gas outlook and the expected performance of the energy management division in 2026 and 2027 compared to the strategic plan?
Rita de Alda Iparraguirre: Okay. So regarding energy scenario forecast for the next months indicate a moderate gas price level environment in Europe, mainly driven by increasing exports from the U.S. However, we are nearly fully hedged this year, and we have margin visibility throughout the next months. Regarding contracted volumes, we anticipated already in the strategic plan that we will have lower contracted volumes in 2026 due to contract expirations. And these effects will be mitigated through our diversified gas portfolio and our ability to access to market volumes. Overall, while we foresee a more challenging environment in the next few years, due to rising global LNG exports that we actually anticipated this in our strategic plan, we rely on LNG as a key enabler of the energy transition in the future. That's why we signed a new contract with U.S. gas suppliers starting in 2030.
Abel Arbat: Thank you, Rita. Tons of questions around the levels of hedging and exposure and sensitivity to moves in the TTF, Brent and Henry Hub. I think that throughout the presentation, we clarified and guided towards the very limited sensitivity and the high levels of hedging. But if there are any comments that we can add, please?
Jon Ganuza de Arroyabe: No, I mean, basically -- thank you, Abel. If we are hedged for 2026, that means that we are -- we have no impact or negligible impact associated to any variation on the TTF or Henry Hub or even power prices. So I think that for 2026, we are fully hedged. And for 2027, we are mostly hedged and the same could also be said for 2028.
Abel Arbat: Thank you very much, Jon. Also, a question on the Sonatrach price review. And if we can comment on the main elements of that review and why it's helpful to the group.
Jon Ganuza de Arroyabe: Of course, we cannot disclose any of the commercial details, but I think that the most important thing is that it allows us to have a 3-year outlook of how the prices are going to evolve. That helps on our supply business, it also helps in our overall cash position. But especially, I think that it strengthens the relationship, the long-term relationship partnership that we have with Sonatrach, and it reflects that we can work even in a challenging condition or environment like the one that we've seen in the past few months and the past few years.
Abel Arbat: Thank you very much, Jon. A few questions as well on the European ban to importing gas from Russia. What is the current status? And what are the sort of alternatives that we are considering in line of the current situation?
Jon Ganuza de Arroyabe: So I think that we always talk about the ban, but actually, there are two overlapping measures that have different scope and different time line. On the one hand, we have a sanction that is a full ban on Russian LNG. So it not only covers that we could not import LNG to Europe, but we could not do anything with the LNG. But the time line of that sanction is until July 31 of this year. And if it doesn't review, it will die off. And then there is the second measure that is the ruling that was approved by the European Parliament in February. And the scope there is more limited. The scope of that ruling, it limits itself to the import of Russian LNG to Europe, but it would allow eventually diversions to other markets or other countries. So I think that the first thing that we have to look out is whether the sanction will be renewed on July 31 or not, and that would mean a different scenario for a company like ours.
Abel Arbat: And finally, on this business unit also a few questions related to acknowledging that we signed a new contract with Venture, are we looking for other alternatives to replace or to top up our current gas procurement volumes?
Jon Ganuza de Arroyabe: So I think the security of supply in energy is a bit like the saying that you have in English that you fix the roof only when it rains, and we don't like to work that way. We think that we have to work in advance. And that's why we are always looking to different procurement solutions that would increase the security of supply and would increase our diversification. We are having talks with the different parties. And if we find something that makes sense and is sensible for both parties and it strengthens our supply procurement portfolio, of course, we will move ahead with that.
Abel Arbat: Thank you, Jon. So now moving on to the thermal generation, particularly a number of questions in Spain. So what's our view on the outlook for 2026 and beyond on the role of CCGTs and its contribution by ancillary services? How sustainable do we think this is?
Rita de Alda Iparraguirre: Okay. So as we mentioned during the presentation, we don't expect capacity payments in 2026. We expect them to be published for 2027. And what we see is that CCGTs will continue to play a key role in this -- in the current environment, and we don't expect this to change in the near and the medium term. This translates into higher demand and production in ancillary services market that guarantee the system stability and the security of supply. We are nevertheless taking a more conservative assumption in CCGT's production for 2026. And also, it's important to understand that probably the launch of new voltage control markets, the entry of new batteries or the development of new infrastructure will obviously influence some restriction in the future, but we insist that CCGTs will remain essential as a backup technology.
Abel Arbat: Thank you, Rita. Moving on to a few questions on the renewable businesses. And the first one relates to renewables in Spain. We continue to invest in renewables in Spain. There is around EUR 430 million of growth CapEx in 2025. Do we still find returns are reasonable? What kind of -- what's our focus in Spain and our competitive advantage?
Rita de Alda Iparraguirre: Okay. So regarding renewables in Spain, we are conscious that they face significant challenge, for example, delays in permitting and also limited profitability due to negative prices. However, for this reason, we are focusing our investment during the next months in repos of existing wind plants and also in batteries and finishing the projects that we have under construction. As we always defend, we seek a multi-technology and balanced position that allows us to meet the demand of our customers. And we are, therefore, committed to renewals, but always under selective growth that guarantees profitability.
Abel Arbat: Thank you, Rita. There is also a related question around our views about curtailments and how we see the curtailments evolving this year and in the current dynamics, I guess.
Rita de Alda Iparraguirre: Okay. So curtailments of renewable energy have increased significantly in the recent months. We expect them to decrease with the entry of new storage capacity in the next months and years.
Abel Arbat: Thank you, Rita. There is a question about the amount of hydro, nuclear and renewable terawatts in Spain that we have hedged already. I think I guess it's worth highlighting our positioning between how we manage our power generation and supply.
Rita de Alda Iparraguirre: So I think we have several times mentioned that we have an integrated position. So we sell at a fixed price, the energy that we produce. So in this sense, we have a hedged position between production and sales.
Abel Arbat: Thank you, Rita. So we can now move on. There's a question around biomethane. And so what's our latest views on the current state of administrative authorizations and the potential of this activity?
Rita de Alda Iparraguirre: Okay. So we are expecting a policy package to be published in 2026 that will accelerate biomethane production and its use for decarbonization. In this sense, the group has, during the last years, made a strong progress in the development of biomethane portfolio with more than 75 projects in pipeline and 40 of these projects are already waiting for permitting. However, our investment plan has been delayed by a slow administrative process. We expect administrations to collaborate in order to achieve these objectives. But however, this means that 2027 investment plan will be partially delayed.
Abel Arbat: Thank you, Rita. So moving now to the last part in the Supply business. So our Supply EBITDA performance has dropped versus last year. How could we describe the competitive landscape in Spain between electricity and gas?
Rita de Alda Iparraguirre: Okay. So generally, the sector is experiencing high levels of competition and churn ratios, especially in electricity, and we expect them to remain both in retail gas and electricity. Even in this context, the group has expanded its client electricity portfolio. On the other hand, a substantial portion of the customer portfolio for 2026, more or less 70% or 80% of our sales have already been contracted. This provides us a strong visibility into next year margins, which remain solid. Finally, the group is focusing on excellence in client service and efficiency, supported by our new digital platform that we call NewCo.
Abel Arbat: Thank you, Rita. Okay. So -- and also a question on Supply around the evolution of our Supply margins and whether or not we are maintaining market shares in both gas and electricity segments.
Rita de Alda Iparraguirre: Yes, we expect volumes to remain solid, as I've already mentioned, we've already -- we have most of our customer portfolio already contracted, and we see continuity in this sense.
Abel Arbat: All right. Many thanks, Rita, and this finishes the questions that we've received through the webcast. So thank you, everyone, for joining the presentation. The Capital Markets team remains available for any further questions you may have. And the management team is going to be on the road for the coming weeks in London, Continental Europe and the U.S. So we hope to see as many of you as possible. And many thanks again. Thanks, everyone, for joining.